Operator: Good morning and welcome to Webster Financial Corporation’s first quarter 2020 earnings call. I will now introduce Webster’s Director of Investor Relations, Terry Mangan. Please go ahead.
Terry Mangan: Thank you Rob. Welcome to Webster. This conference is being recorded.  Also, this presentation includes forward-looking statements within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 with respect to Webster’s financial condition, results of operations, and business and financial performance. Webster has based these forward-looking statements on current expectations and projections about future events. Actual results might differ materially from those projected in the forward-looking statements. Additional information concerning risks, uncertainties, assumptions and other factors that could cause actual results to materially differ from those in the forward-looking statements is contained in Webster Financial’s public filings with the Securities and Exchange Commission, including our Form 8-K containing our earnings release for the first quarter of 2020.  I’ll now introduce Webster’s President and CEO, John Ciulla.
John Ciulla: Thanks Terry. Good morning everyone. Thank you for joining Webster’s first quarter earnings call. We have a modified call this morning as a result of the COVID-19 pandemic. CFO Glenn MacInnes and I will review business and financial performance for the quarter. I will also provide some additional information on the line of business performance and COVID-19 related activities across the bank.  After Glenn and I complete our prepared remarks, I will review our credit profile including, one, our exposure to industries most directly impacted by the pandemic; two, a comparison of our current portfolio with the portfolio we had heading into the 2008 financial crisis; and three, a portfolio by portfolio review of key credit metrics and industry exposures. Our Chief Credit Officer, Jason Soto will join me during this portion of the presentation. After the credit discussion, HSA Bank President, Chad Wilkins and Jason will both join me and Glenn in responding to your questions.  First, I want to acknowledge the fact that we are living in uncertain, challenging, and unprecedented times. I hope that all of you and your loved ones are healthy and safe, and I want to let those whose health has been impacted by the crisis know that the Webster Bank family has you in our thoughts.  The way our bankers have taken care of each other, our customers and communities over the last two months is truly amazing. I usually end my remarks with thanks to our bankers, but today I’m going to start by thanking each and every Webster banker for their remarkable contributions during this challenging time. I am so proud of the entire Webster team. Webster Bank and the entire banking industry has rallied to be part of the solution to this health crisis and the resulting economic fallout. I also want to publicly acknowledge the bold, swift, and timely actions of legislators, bank regulators, the Treasury, and state and local officials. Each have collectively and individually reached out to banks, listened to what’s happening on the ground, and rolled out creative and impactful programs to help those individuals and businesses in need. When you turn to Slide 2, you can see Webster at its very best. Consistent with the way our values-based organization has operated since our founding during the Great Depression in 1935, we immediately took action at the outset of the pandemic to support our employees, customers, and the communities we serve. The safety of our employees was and is our number one priority.  We swiftly moved 80% of our workforce to remote or at-home work, thereby creating a safer, socially distanced work set-up in our buildings for those who need to be onsite to execute essential operations. We modified branch activities and hours to ensure the safety of our employees and customers while being available to meet our customers’ needs. This included moving to drive-through and ATM service with bank lobbies open by appointment only. We established a no-interest loan program for our employees whose families had been financially impacted by the pandemic. We have paid all of our employees at 100% of pay, including those who are home because of illness, quarantine, higher health risk, or to take care of loved ones or kids home because of school closures. We’ve increased the daily pay of those bankers on the front line and had added PTO time to those workers as a future benefit. We have not reduced our workforce by a single FTE during the crisis, and we have augmented and expanded our employee assistance programs to support our employees during the pandemic.  For our customers, just as we led the banking industry with our foreclosure avoidance program during the Great Recession, we immediately placed a moratorium on residential mortgage foreclosures relating to Webster-owned mortgages. We waived fees on early CD withdrawals, we increased availability and amount of funds for withdrawal by our customers, and we’ve worked with our customers adversely impacted by COVID-19 through the modification of loans, the deferral of loan payments, and through participation in the SBA Paycheck Protection Program and the Fed’s Main Street Lending program. Here are some data points related to activities we have undertaken both as principal and what we’ve done through government programs. As of April 16, we have modified over 2,000 units representing $476 million of residential mortgages and home equities. That’s approximately 6.5% of total home equity and mortgage balances, roughly 750 borrowers or $300 million of small business loans, representing approximately 17% of our small business portfolio outstandings, and over 300 borrowers and close to $1.6 billion of commercial loans, or roughly 13% of the funded commercial loan portfolio.  With respect to the Paycheck Protection Program, we started accepting applications on day one and, despite technology and process challenges experienced by all banks, we were able to help many business clients in need. When the SBA stopped accepting applications last Thursday, we had more than 2,000 SBA-approved loans, representing approximately $650 million, most of which should be funded over the next week. We have continued to process applications internally and will begin submitting those applications for approval when the SBA has additional funding and opens up the process, which it looks now like it will be later this week. With respect to the Fed’s Main Street Lending program, we have worked with our industry organizations and directly with the Fed to be prepared to utilize these loan programs to help our larger commercial customers through the crisis.  For our communities, we have increased the amount of our 2020 philanthropy budget and repositioned dollars to support those most impacted by the COVID-19 pandemic. We have made more than $375,000 in donations thus far to Feeding America, the American Red Cross, and United Way across our footprint to provide urgent basic needs.  I’ll now turn to our financial highlights on Slide 3. Webster’s first quarter results continue to demonstrate our ongoing commitment to strong execution on strategic priorities through any and all operating environments. Pre-provision net revenue of $125 million was up modestly from Q4, driven by a slight increase in total revenue and a slight decline in expenses. Earnings per share were $0.39 in the quarter compared to $0.96 in Q4 of 2019 and $1.06 in the prior year’s first quarter. The decline resulted primarily from an increased provision resulting from the adoption of CECL, a weakening forward economic outlook, and the impact of a significantly lower interest rate environment. Glenn and I will walk you through the assumptions underlying our CECL process and ultimate provision number. Our CECL process is strong, consistent with the requirements and controls of the accounting process. In this quarter, that process included the appropriate amount of conservativism and thoughtful judgment to reflect the uncertainty of the environment and the behaviors in our portfolio with respect to onset of the pandemic.  Tangible book value per common share increased 8% from prior year. Our first quarter return on common equity was 4.75% and return on tangible common equity was 5.95%, with each reflecting the $68 million reserve build in the quarter. The combination of a slight increase in total revenue and a slight decrease in expenses led to improvement in the efficiency ratio, which was 58% in Q1. March 31 reported credit metrics remained strong, while our forward forecast of economic conditions deteriorated significantly with the onset of the pandemic. Slide 4 presents loan and deposit trends. Loan growth was strong as total loans grew 11% and commercial loans grew almost 16% from a year ago, or by more than $1.8 billion. Strong organic growth in CRE was augmented by approximately $450 million in revolver draw downs in the commercial portfolio in March, and we saw a reduction in prepayment activity. Deposits grew 7.7% year over year, driven by the inflow of HSA deposits and public funds, and transaction on HSA deposits now represents 60% of total deposits, up from 57% a year ago. Also of note, footings at HSA bank increased 9% from a year ago, for growth of $679 million during the year. Turning to Slide 5, I will spend a few minutes speaking to each of our three lines of business.  In commercial banking, loans were up nearly 7% linked quarter and 15.5% from a year ago, which includes the aforementioned $450 million in net revolver draws. CRE drove the year-over-year growth while sponsor and specialty loan balances, which saw the lion’s share of the revolver draws, drove the linked quarter increase. Prepayments were lower in the quarter, partially attributable to lower economic and transaction activity in the second half of the quarter due to the emergence of the pandemic.  Deposits were up smartly, some 15% linked quarter and 20% from a year ago, largely driven by the depositing of revolver draws into DDA. Normalizing for revolver usage, deposits were up approximately 5% in commercial banking in the quarter.  Loan and deposit volumes in the quarter drove a 3% year-over-year increase in net interest income in commercial banking despite rate pressure. Expenses were up 4.3% year-over-year, driven by investment in people and technology. Commercial banking PP&R was relatively flat year-over-year.  While we are appropriately cautious with new underwriting activities, I can tell you that we closed meaningful, high quality new business in the quarter in segments that are not experiencing a material adverse impact from the pandemic, segments such as software and technology infrastructure. In fact, in early April we closed our largest agency deal on a best efforts basis, a $350 million technology infrastructure deal where we held just over 10% of the risk after close. Turning to Slide 6, in HSA Bank we are continuing to make great progress. We concluded another successful first quarter as we opened 338,000 new accounts for a total of 734,000 new accounts opened over the last 12 months. In addition, we added over 1,000 new employers in the quarter. There was no material impact in the quarter related to the previously reported movement of accounts tied to the decision by two wholesale custodial partners to in-source account administration. NA accounts were up 6.4% to $3.1 million while deposits increased 8.5% to $6.7 billion.  The 2019 year-end Devenir report indicated an overall HSA market that slowed marginally as the market growth rate of accounts was flat and the deposit growth rate declined by three percentage points during the year. One important point to note is that HSA Bank’s funded account growth rate was 9.2% in 2019 compared to the industry rate of 5.6%. In the first quarter, our funded account growth rate was 6.8% year-over-year, both reflective of our consistently low percentage of unfunded accounts when compared to industry data. We had a good start to the year from a sales perspective as we signed several large employers in the quarter. We also announced a major partnership with Jellyvision that will further enable our customers to make informed and smart healthcare choices. We also launched partnerships with Blue Cross Blue Shield of Michigan and Principle Financial Group. These partnerships are all uniquely capable of delivering strong growth, especially within the jumbo employer market.  In addition, as you may have seen, yesterday we announced that we signed an agreement to acquire State Farm Bank’s portfolio of seasoned HSA accounts, representing approximately $140 million in deposits. We expect to close that transaction in the second or third quarter. In response to the pandemic and consistent with all of Webster, we were able to quickly transition 96% of our HSA staff to work from home in less than three weeks, maintaining 24/7 customer support and continuing to meet service and quality metrics. In addition, we are working closely to support our customers through the pandemic at a time when our services may be particularly critical, including capabilities we have deployed directly or via partnerships such as eHealth, HSA FSA Store, Good Rx, Blink Health, Medical Cost Advocate, and Healthcare Bluebook.  We feel that the current legislative and political landscape remains favorable for the HSA industry and the chances of a near term Medicare for All national healthcare solution are even more remote than they were a year ago. Our relationship with WEX, our technology partner and Cigna, our largest HSA partner, have never been stronger.  I’m on Page 7. In community banking, we’ve done a tremendous job keeping our employees and customers safe while continuing to provide the standard of customer service our clients expect. Total community bank loans grew by 5% year-over-year with business banking loans leading the way at 9%. Deposits grew by 3%, again led by business banking. Non-interest income was up 9% as a result of higher mortgage and investment services revenue. Many more customers have transitioned to self-service channels as digitally active households crossed 50% in the quarter for the first time, and we see that trend continuing given the pandemic. As you can imagine, our community banking team, along with the resources from across the bank are working diligently in executing on the PPP loan program, which will help so many of our customers. We’ve been focusing on customer outreach and support, and I can’t say enough about the way our community bankers, including all of those in our banking centers, have delivered for our customers and communities during the first quarter and over the last several weeks. Before I turn it over to Glenn, I’d like to make a couple of comments related to capital management. First, we are completely focused on internal execution and, other than opportunistic HSA transactions, bank M&A remains a low priority. We have a strong capital position enabling us to support our customers and assist in the financial recovery in the country. As we announced this morning, our board has approved a quarterly dividend of $0.40 per share. Also, after a modest repurchase of approximately 2 million shares in early Q1 before the onset of the pandemic, we do not anticipate repurchasing additional shares until this pandemic is behind us. I’ll now turn it over to Glenn for the financial review.
Glenn MacInnes: Thanks John. I’ll begin with our average balance sheet on Slide 8. Average loans grew $516 million or 2.6% linked quarter. Growth was led primarily by the commercial business. A linked quarter increase of $329 million in commercial real estate was the result of strong originations and a reduction in payoffs. On a year-over-year basis, our commercial real estate loans grew more than $1 billion. Commercial loans now represent 66% of total loans compared to 63% in prior year. Consumer loan performance was driven by a $96 million increase in residential mortgages with some offset in home equity. On the deposit side, our low cost transactional and HSA deposits have increased more than $1.2 billion from last year and now represent 60% of total deposits with a combined cost of 13 basis points. The Q1 seasonal inflow of HSA and government deposits funded loan growth as well as a $200 million reduction in short term borrowings. With regard to capital, the modest average linked quarter reduction in common equity is reflective of a day one CECL adjustment of $58 million and approximately $77 million as a result of share repurchases in the quarter. Likewise, modest reductions in the common equity Tier 1 and tangible common equity ratios are also reflective of CECL, share repurchases, and asset growth. We have elected to phase in the CECL impact on regulatory capital, which favorably impacts our ratios by 20 to 25 basis points. Even excluding the phase-in in capital treatment, our capital ratios would remain very strong and well in excess of regulatory well capitalized levels.  Slide 9 summarizes our Q1 income statement and drivers of quarterly earnings. Net interest income was flat to prior quarter as a $6 million benefit from loan growth was offset by the effect of a lower rate environment. This is reflected in our net interest margin, which was lower by four basis points versus Q4, 16 basis points due to lower loan yield which was partially offset by nine basis points from lower deposit costs, and three basis points from lower borrowing costs.  Versus prior year, net interest income declined $11 million. Thirty-one million of the decline was due to lower market rates with a partial offset of $20 million from earning asset growth. Non-interest income increased $2.5 million linked quarter and $4.8 million from prior year. HSA fee income increased $3.4 million as a result of account growth and the seasonal increase in interchange. In addition, our mark-to-market on hedging activity increased $2.6 million which was offset by a decline in syndication and client swap revenue. The increase in non-interest income from prior year reflects the mark-to-market on hedging activity as well as higher mortgage banking revenue. Reported non-interest expense of $179 million declined modestly linked quarter and grew less than 2% from prior year.  Pre-provision net revenue of $125 million increased $3 million from Q4 and decreased $9 million from prior year. Provision for credit losses for the quarter was $76 million, which I will explain in more detail shortly. The efficiency ratio improved to 58% from 58.5% in Q4, reflecting a modest increase in revenue and a slight decrease in non-interest expense, and our effective tax rate was 22.6% compared to 22.3% in Q4.  Turning to Slide 10, I will review our results of our CECL adoption and the first quarter allowance. As we look at the walk, the day one CECL adoption was $58 million, a 28% increase in the allowance resulting in a starting coverage ratio of 1.33%. During the quarter, we had $7.8 million in net charge-offs. We recorded a $12 million provision as a result of loan growth of $855 million during the quarter. Loan growth primarily came from the commercial categories and included $450 million in line draws in March, slower prepayment activity, and loans funded from our strong fourth quarter pipeline. The remaining Q1 provision was $64 million, bringing our allowance to $335 million or coverage of 1.6%.  The provision is reflective of our economic outlook, including GDP, unemployment and housing prices, and a qualitative assessment of our loan portfolio and how it will perform through the pandemic. This was accomplished by reviewing higher risk sectors, loans participating in modification programs, and potential risk rating migration based on a granular bottoms-up credit review. At the time we closed the books in early April, our outlook included a second quarter GDP decline of nearly 20% with unemployment peaking just under 10%, and a recovery beginning in the second half of 2020.  As we move into the second quarter, we will refine our assessment in three critical areas: first would be an update of our outlook on macroeconomic variables; second, an updated review of higher risk sectors and our loan modification programs; and third, the assessment of the impact of government stimulus programs on our portfolio. Initial April economic forecasts are projected to be more severe as the second quarter GDP decline could exceed 30% with unemployment peaking near 15%. All of these areas are still developing, making it difficult to project how the pandemic will impact the provision in the second quarter and over the remainder of the year. That being said, our provision in the second quarter will be driven more heavily by the expected duration and severity of the pandemic.  Slide 11 highlights our key asset quality metrics at March 31, prior to the effects of the current environment. Non-performing loans in the upper left increased $12 million from Q4. C&I represented $9 million of the increase. Net charge-offs in the upper right increased slightly from Q4 and totaled $7.8 million in the quarter. Commercial classified loans in the lower left represented 287 basis points of total commercial loans. This compares to a 20-quarter average of 317 basis points. The allowance for credit losses increased to $335 million, resulting in a coverage ratio of 1.6%. Slide 12 highlights our key liquidity metrics. Our diverse deposit gathering sources continue to provide us with a strong competitive advantage. More than $1.1 billion of core deposit growth in Q1 has maintained our favorable loan to deposit ratio of 85%. We are predominantly core deposit funded with brokerage CDs representing less than half a percent of total deposits at March 31. In addition, our sources of secured borrowing capacity remain intact, totaling over $9 billion at March 31. Slide 13 highlights our key capital metrics. Our regulatory capital ratios exceed well capitalized levels by substantial amounts. The common equity Tier 1 ratio of 11% exceeds well capitalized by $1 billion, while the excess for the Tier 1 risk-based capital ratio is $809 million.  The unprecedented environment makes it difficult to provide formal guidance at this time. What I can tell you is we expect average earning assets to grow in a range of 4% over Q1, driven primarily by loan growth. We expect net interest income to be flat to Q1 as a result of loan growth, Paycheck Protection Program volume, and lower deposit and borrowing costs to be somewhat offset by lower asset yields, as average market rates have come down since Q1. Non-interest income will likely be flat to modestly down given the mark we recognized in Q1, and non-interest expense will likely be flat to Q1’s level.  Our share count will be about 1.3 million shares lower on average due to buybacks completed in Q1.  With that, I’ll turn things back over to John for a review of our credit profile.
John Ciulla: Thanks Glenn. Many of you know that I’m deeply involved in our credit execution as I grew up in commercial lending and credit, and served as Webster’s Chief Credit Risk Officer during the financial crisis. As I’ve said many times, I’m proud of the credit risk framework that we have built over the last dozen years with respect to risk selection, underwriting portfolio management, and credit reporting. The nearly $21 billion loan portfolio we have today has been thoughtfully and purposefully built.  While I never predict credit performance, the ultimate outcome of which will be determined by the depth and duration of this crisis, I can say that we have been true to our underwriting guidelines and I’m very proud of our line of business and credit professionals who always put risk management first. As I mentioned earlier, Jason Soto, our Chief Credit Officer, who joined us five years ago from GE Capital, is with us today on the phone, and he will be available for Q&A. We’ll now walk through the credit slides that we posted this morning with the earnings deck, and we’ll respond to any credit questions during the general Q&A. Starting on Slide 14, you’ll see an outline for this discussion. As I mentioned, Jason and I will comment on our exposure to those segments most directly impacted by the COVID-19 pandemic. I’ll then provide what I hope to be a clear and concise comparison of our current loan and securities portfolios with our 2007 pre-Great Recession portfolios, and then I’ll briefly walk through each of our loan portfolios, allowing Jason to provide some context with key metrics, so hopefully you’ll get a sense--have a clear granular view of the $21 billion we have in loans. I’ll highlight on each slide without reading every detail, but I will provide you with what I believe to be the key takeaways. Slide 15 - you’ve seen this disclosure from other banks as they have reported. This attempts to capture our loan outstandings in each of the most impacted sectors, including ratings categories, modification, and line draw activity through 3/31, which Jason will update in a moment. I want to make clear, we wanted to be transparent with this disclosure, but this doesn’t represent all of the loans that we think are at risk. Many of these loans are not at risk, these are simply the categories that the industry has been reporting that are obviously most impacted in the first order by the pandemic. In fact, 94% of these loans are pass rated, and you’ll see here that there’s been limited modification and revolver draw activity, so I want to provide a little context there. The key takeaway on this slide is that our direct exposure to these segments is modest on both an absolute and relative basis. Ninety-four percent, as I said, are in pass rated categories, most representing 1% or maybe 2% of our total loan portfolio. We are fortunate as our strategies have, over the long term, been focused on less cyclical industries with recurring cash flows, so on a relative basis we’ve not really pushed hard on sectors like energy, transportation, discretionary retail as focuses.  The other point I want to make before letting Jason provide some context is that you’ll see retail as broadly defined represents 5% of our loan portfolio. In this category, more than 50% of those loans are in high quality investor CRE, and those are mostly in non-discretionary pharmacy or grocery-anchored. For those of you who have heard me talk about Bill Wrang over 25 years, with his retail exposure he’s always looking for non-discretionary. I’ll also tell you that an additional 20% of that retail exposure is fully followed in our ABL group, where credits are borrowing base secured and often have cash dominion, and I’ve been working with Warren Mino and that group for the entire 15 years I’ve been here and they have an unbelievable track record in managing even struggling large retail exposure, so we’ve got a lot of confidence within that pocket of retail. Jason, maybe I’ll turn it over to you to make a couple of comments there.
Jason Soto: Great, thank you John, and good morning everyone. To provide an update on the information on the slide as of late last week, the overall pace of modification requests has slowed the last couple of weeks. Modifications are up to $692 million versus the $517 million. Revolver draws in these sectors are up modestly to $130 million versus $122 million. That said, as John mentioned earlier, commercial modifications in total have been roughly $1.85 billion as of late last week, so we’re clearly seeing modification activity beyond just these sectors. The reality is that many of the companies being impacted may have a portion of their revenue tied to these sectors or otherwise feeling the ripple effect of the current environment. It’s a bit hard to capture all that with a straight top-down approach by sector, and so for that reason we’re using the more granular bottoms-up approach to identify the exposure to borrowers that we believe may be more impacted in the current environment. By exposure, we’ve reviewed over 80% of the accounts in the portfolio and have reached out to the majority of those where we have direct relationships. We created a common framework to rate the potential level of impact to the borrowers. We roll that up weekly and have a call to review updates. Based on this, I believe we have a good handle on the exposure to borrowers that may need some accommodation in the near term. I will also say that 90% of the borrowers that have requested modifications are pass rated and many have low loan to values, junior capital, owner and sponsor support, and liquidity. Assuming we start to see a resumption of economy activity throughout 2020, we’re optimistic that the majority of these borrowers will recover, and we will certainly do our part to support them in a prudent way.
John Ciulla: Thanks Jason.  Turning to Page 16, these next three slides demonstrate the purposeful strategic shifts in our portfolio since the Great Recession. This is the execution that I talked about earlier. The reason I think these three slides are so important is that I have seen so many people use credit performance by asset class during the Great Recession as a proxy for loss prediction during the next credit downturn, like the one we are entering into right now. Again, I’ll never promise or predict ultimate credit outcomes, but I can tell you that our portfolio today is vastly different than what we had in 2007. Not only are the portfolio dynamics different, but the way we underwrite, manage and report on risk is light years ahead of where we were in 2007, when we had only a few years earlier transitioned to being an OCC regulated commercial bank. The key takeaway on this slide comparing consumer and business banking loan portfolios and performance is that the overwhelming majority of losses here come from broker originated, non-centrally underwritten, out-of-market mortgage and home equity loans, and from a small portfolio of business banking unsecured loans. We no longer originate out-of-market mortgages and home equity loans, with few exceptions. We centrally underwrite everything internally, even correspondent in-market loans, and we have been very disciplined on underwriting guidelines over the last 10 years. Moreover, we have virtually no unsecured business banking loans and we do not originate that product. On Page 17, it shows the same analysis for our commercial banking portfolios. We had outsized losses in a discrete residential development portfolio and a discretionary aviation portfolio in equipment finance. Consistent with my earlier comments, we have focused since the Great Recession on less cyclical verticals and businesses, and you can see here that our exposure in those areas is minimal as a result. Another key point on this slide is the fact that sponsor and specialty in leverage loans within our C&I business in general performed at the same level or better than our other portfolios in the commercial bank, a point I have made several times over earnings calls when asked about the nature of our leverage loans.  While our sponsor and leverage loan portfolios are larger today on an absolute basis, I’ll remind you that they represent roughly the same percentage of C&I loans as they represented in 2007 and they represent roughly the same percentage of Tier 1 capital plus reserves that they represented in 2007.  On Page 18, this is a critical slide. You’ve heard me talk about the geography of our capital losses during the Great Recession. Here, you can see that the single biggest category of losses or write-downs for us during the financial crisis was not in the loan portfolios, but in trust preferred securities in our investment portfolio. Today, only 18% of our $8.5 billion securities portfolio is credit sensitive compared to 44% in 2007, and the nature of those credit sensitive instruments today is higher rated and higher quality. Again, this was a purposeful strategy shift from lessons learned during the Great Recession. The natural question after these three slides is, you’ve eliminated those activities that drove the highest losses, but are there other portfolios hidden in your overall loan portfolio that could blow up and have losses? Again, I can’t tell you that there’s not going to be a specific segment or industry that will not have credit losses depending on the depth and duration, but I can tell you our ability to monitor our portfolio, the surveillance we have, the ability to look at correlated risk across portfolios, the quality of our risk management team is light years ahead of what it was before, and I can tell you that we’ve pivoted over time in the last 12 years on things like contractors or traditional advertising-based media, so that we’re able to make decisions quickly to reduce emphasis in certain portfolios over time, and we’ve done that. My confidence that there aren’t hidden pockets of risk is much higher than it would have been during the Great Recession, and I hope that those three slides provide some perspective on how thoughtful we’ve been about building our portfolio and the fact that we did take to heart lessons learned during the last downturn.  On Slide 19, we’ll see just an overview of the portfolio, and the truth is it’s a straightforward, midsized bank typical portfolio with, obviously, a sponsor book in there where we have industry expertise. You can see a high level breakdown here of the $21 billion, and in the carets on the right, you’ll see where those exposures reside. For consumer finance, the $7.2 billion portfolio, $7 billion of that are prime in-market residential mortgages and home equity loans, and then a small pocket of consumer finance, which includes lending club. I will speak to each of these on the following slides.  Our commercial real estate is comprised of a majority of it in our commercial banking investor CRE book, run by Bill Wrang for over 21 years here, who has had great asset performance even during the Great Recession. It also encapsulates our business banking investor CRE and owner-occupied CRE, and it also includes owner-occupied middle market commercial real estate loans as well as some technology infrastructure, data center-like real estate secured businesses. The C&I is typical C&I in middle market. In sponsor and specialty, it includes our enterprise leverage loans, asset-based lending, and equipment finance, and then you’ll see the investment securities where we make the point again on the breakdown between non-credit and credit sensitive instruments. On Page 36 in the supplemental information - please don’t turn to it now - you’ll see a detailed breakdown of the investment securities portfolio, which I will not cover here. On Page 20, residential mortgage, the key takeaway on this slide is that our $5 billion mortgage portfolio is a high quality, prime, in-market, centrally underwritten portfolio with high FICO scores and modest LTVs, both at origination and when updated for today. Credit performance, not surprisingly, has been outstanding, and I told you that we’ve only had a modest level of modification and payment deferral requests to date on this portfolio. On Page 21, home equities, pretty much the same story as mortgages - in-market, prime, strong FICO and LTV metrics at origination, and even slightly improved when updated today. We manage this book effectively through end of draw on much of the portfolio, and we have not seen interestingly any defensive draw down activities on the unfunded portion of these home equity loans thus far into the crisis. I also want to highlight one caret there that close to 50% - 5 - 0 - of this portfolio is in a first lien position. On Slide 22, personal lending, a very small $220 million. Eighty percent of it represents lending club and, as you know, it’s about $176.2 million and has been coming down since the peak of about $230 million, $240 million. We stopped purchasing lower tranches in 2017, purchasing just As and Bs, and recently just As, and we are no longer purchasing lending club. If you look at it, the FICO scores are strong and have been improving, and we have not seen credit performance in this small portfolio deteriorate yet. We’ll obviously watch it closely. We’ve got good geographic diversity in the portfolio and over the time we’ve been involved with lending club, we have seen performance in the portfolio that meets or exceeds expectations.  On Page 23, in commercial real estate our total CRE portfolio, we’ve had meaningful and targeted growth over the last few years as we are good at it, and we’ve been underweight compared to peers and when compared to regulatory concentration hurdles. The majority of this business is in our investor CRE line within the commercial bank, led by the same management team for many years and through cycles. I’ll provide more detail on that $3.8 billion representing the 62% you see in the top chart there on the next page. The overall portfolio is well diversified with limited exposure in more volatile sectors, and very little hotel exposure, very little discretionary retail exposure. We have less office exposure as well than we did 10 years ago. On the next page, let’s do a deep dive on our largest exposures and our largest part of the retail portfolio. Focusing on investor CRE, we’ve had a targeted strategy of growing multi-family and industrial, selectively financing office projects in strong markets. As I mentioned, I think six times on this call already, and I apologize, Bill Wrang, with us for more than 20 years, who came out of AETNA, manages this portfolio. It’s more of an institutional quality real estate portfolio. It performed exceptionally well during the last downturn. It tends to be lower yielding but more resilient during a tough credit time. We partner with experienced sponsors on equity partners and provide well structured solutions with sufficient cushion to withstand volatility.  If you look here at the origination metrics, they’ve been very steady over the last few years despite competing in a highly competitive lending environment, and that discipline tends to serve us well. It’s also translated into very strong updated portfolio statistics, which are the bottom chart there, so we’re not talking about 80% loan to value real estate loans, we’re talking about a portfolio of 60% loan to value real estate loans with an average debt service coverage ratio of nearly two times. Overall, and not surprisingly, asset quality is really strong in this portfolio, and we’ve been reaching out to our customers aggressively and we will be managing through whatever the crisis brings us, but we feel really good about this portfolio. On Page 25, you’ll see the C&I portfolio, balanced and diversified. This includes our sponsor and leverage portfolios, which are primarily industry focused, collaterally focused businesses in ABL and equipment finance, core input businesses in middle market and business banking. Most meaningful concentrations are in broad diversified categories such as services and communications, a good portion of which is software, technology, and infrastructure originated in our sponsor business, and we’ve maintained lower exposure in construction and retail as well as finance companies, which we feel could represent correlated risk with our broader portfolio, so we have de-emphasized over time those segments. On Page 26, we’ll talk about sponsor and specialty in leverage on these last two pages, and I’ll ask Jason to provide a little more color and context. One of the important things that we always talk about, and I’m not sure is fully understood, is that our sponsor and specialty business is $3.3 billion or something. Only a third of that is leveraged loans. We’re reporting here leveraged loans which are leveraged at origination based on regulatory definitions, generally three by four senior to total leverage, so a full two-thirds of our sponsor and specialty portfolio is acquisition and industry specific financing that does not qualify as leveraged loans.  Most of our leveraged loans are in this book, over 80%. We’ve been lending to sponsor backed and leveraged companies since 2004 when Chris Motl and I arrived at the bank, and as you saw earlier in the presentation, the performance has been strong and in line with overall C&I, even through a cycle. We have meaningfully shifted this book over time to make sure that we’re lending to non-cyclical end markets that have recurring, protectable, predictable streams of cash flow. You’ll see that software, tech and infrastructure has grown from about one-third of the portfolio to almost 50% - again, that’s because of the nature of the transactions and the underlying companies, and these companies seem to be less susceptible to this particular crisis as well. Healthcare is another defined vertical where we seek to support routine medical services that will benefit from demographic trends. At the same time, we’ve shifted away from some segments that are less predictable and less protectable from a cash flow perspective. The last slide I’ll cover before I let Jason provide a little context on sponsor and specialty is Slide 27, and this is something that I talked about a little over a year ago on an earnings call, when we talked about leverage lending. This page shows comparative metrics between what we’re originating in sponsor and specialty and the broader leveraged loan capital markets. On average, we have a turn to a turn and a half less leverage on the deals we do versus the market - that’s less risk. We’ve maintained discipline on covenants with only 7% of our book being covenant-light, where the general market is almost 84% covenant-light. The leveraged deals we have, those that are leverage loans, are still half a turn to a turn inside the broader leverage market, and non-leverages are almost two turns inside the market.  When we look at the borrowers’ ability to service debt, we have a very strong profile with 85% to 90% having fixed charge coverage ratios of greater than 1.5 times. On average for both leveraged and non-leveraged deals in sponsor, our loan to value - that’s the loan to the enterprise value - is between 35% and 40% on average, in most cases with significant cash equity or junior debt beneath us, and the sponsors that we have worked with through financial crises, with relationships over a long time, have deep financial and management resources to help us through a downturn. We saw that during the 2008 crisis. Jason, can you put maybe a finer point on some of those, or fill in something I might have missed?
Jason Soto: Yes, look John, I think you hit all of the key points. I guess the only thing I would say is we’ve really increased the percentage of direct deals that we’ve done over the last four or five years, from about half to about two-thirds, which we think is important.  I guess the last thing I’d probably add, and I think it just speaks to the credit culture here at the bank, is our strategy in sponsor and leverage has not only been deliberate, but it also has been very collaborative between the lines of business and credit. We’ve been particularly disciplined in moving away from the areas that you mentioned, like traditional media and restaurants, as well as smaller cyclical credits where we’ve had some historical losses, and we’ve also been very clear about our underwriting parameters as we’ve grown. For example, in tech and infrastructure, which is the largest segment where we talk about financing recurring revenue business models, 90% of the exposure in that book has over 70% recurring revenue. There’s only one deal that has less than 50% of recurring revenue in that book, which again represents almost half of the sponsor book.  If deals come in outside those parameters, our commercial leaders generally just pass. Again, it’s not to say that those deals will be bullet-proof, right? It really depends on the end markets those customers serve and the competitive dynamics, but our thesis is that the services and software being provided are making customers more efficient and smarter about their businesses, so we expect that once installed, the revenue will be sticky.
John Ciulla: Thanks Jason, I appreciate it. Before we go to Q&A, I’d like to acknowledge the departures of Jim Smith, our Chairman, and John Crawford, our former Lead Director from Webster’s board of directors following our virtual annual meeting of shareholders, which will occur this Thursday. The insights, direction, and dedication that Jim and John have given to Webster over so many years have helped to make this organization what it is today and will continue to influence us into the future. They are both personal mentors to me, and I’m proud to call them friends.  I appreciate everyone’s patience going a little bit longer in the comments this morning, and I hope they were helpful. With that, Rob, I’m happy to open it up for questions.
Operator: [Operator instructions] Our first question comes from the line of Steven Alexopoulos with JP Morgan. Please proceed with your questions.
Steven Alexopoulos: Hey, good morning everyone.
John Ciulla: Morning Steve.
Steven Alexopoulos: To start on the reserve, given Glenn, you called out some of the assumptions in the 1Q reserve and the economic outlook appears to be a bit worse than that, just based on how you guys are seeing how CECL is now working, should we see a COVID-19 impact in the reserve in 2Q similar to what we saw in 1Q, given a change in model assumptions look like they’re coming?
Glenn MacInnes: No, we don’t see that. I talked in my comments about--first let me back up and just say, our CECL is an estimate of multiple scenarios and modeled losses as a result of that, and then we did a bottoms-up granular build, as I indicated. I think our reserves and our provision in second quarter will depend less on a 2Q shock and more on the expected duration and severity of the economy over the next one or two years.  Additionally, we have to assess the impact of the stimulus programs and our own loan modification programs, and then we’ll evaluate that over the next couple of weeks. But I don’t see it as anywhere near where we were in Q1.
John Ciulla: Steve, let me give you context, too. I know it’s so hard for you, and obviously it’s hard for all of us because what we’re doing is with the knowledge that we have, as we’re going through the process, we’re giving--you know, we use a third party, obviously, with respect to data, like many of our peers do, and then we look at that and we look at the applicability to our portfolio with what we’re seeing, the results of our bottoms-up approach to looking at all the commercial credits, reaching out to our borrowers, and it all filters in and what we try and determine at that time, with the best forward outlook we have on the economy and the best information we have on portfolio performance, is our models assess the lifetime losses, life of loan losses in the portfolio. What I think will happen in Q2 is the banks will continue to revise based on what the forward outlook is, and I think Glenn made a really good point. I also think that we’ll have better indications of how much the fiscal stimulus and other programs have helped, to help maybe mitigate or offset some of that, and at the end of the day, depending on the depth and severity of the future economic forecast at that point in time, that will impact and influence the magnitude of either additional provisions or no additional provisions, or if somehow we miraculously start to reverse course, the release of provisions over time. But I think it’s really based on what the macroeconomic forecast will be as we approach the end of the second quarter.
Steven Alexopoulos: John, in terms of the specific exposures, I appreciate all the color you’re giving on credit, but if we look at the most impacted sectors on Slide 15, which is really helpful but there’s a lot to unpack on that slide, can you walk us through which of those do you see as the most risk specific to Webster, and maybe which do you see being less risky, just specific to you guys?
John Ciulla: Yes, and I’ll let Jason, obviously, because he’s a good perspective on it for us. I think restaurants are obviously probably at risk. I look at that portfolio - we do have some broader--those aren’t on the corner store restaurants for the most part, they’re broader sponsor backed restaurants with high brand names, so we believe there’s a good chance of survival but they’ll be impacted. We have very little oil and gas, very little travel and leisure from a hotel perspective, so for me, I think about restaurants, I think about what exposure we might have to non-discretionary retail, although I said that that’s relatively small. I would say that those are probably the most directly impacted. Jason, I don’t know if you want to provide some color?
Jason Soto: Yes, sure. Happy to. I’d echo the comment on restaurants. Luckily we have a relatively small exposure and it’s a portfolio that we’ve actually been working down over the last couple years. I would also say that our average hold size in that portfolio is substantively less than other parts of--you know, most of that exposure is in the sponsor portfolio, and we haven’t to date taken material losses. So far we’ve got borrowers who are--have multiple locations diversified geographically, but that’s certainly a part of the portfolio that I would be concerned about. We’ve already talked about retail. A lot of that is collateralized. I guess a few of the other sectors that I’m focused on is things like advertising-based, which again we don’t have a ton of, companies that put on, host or support conferences and large gatherings and business services to those, and also we’re seeing a lot of pressure at the moment in some of the routine healthcare services, like dentists, optometrists, physical therapy, things like that, but you assume that most of that will recover.  There are definitely some pockets that we’re looking at. You could even focus a little bit on perhaps [indiscernible] will consumer behavior change after this. Those are the things that I start to think about in the areas that I focus on.
Steven Alexopoulos: Okay, thank you. That’s helpful. Maybe if I could squeeze one in for Chad, if we look at footing and account growth in HSA, it seemed to slow year-over-year for you and the industry. Is this a new normal for the HSA business?
John Ciulla: Chad, you want to directly?
Chad Wilkins: Yes, thanks Steve. I would say it’s not a new normal. I think that we’re going through--you know, one we’ve seen some, as I’ve talked in multiple [indiscernible] over the last several quarters, we’ve seen slowness related to some of the tailwinds subsiding in the industry. I do think that in a recession, there’s an opportunity for HSAs or [indiscernible] plans to grow more significantly because they tend to do well in economic downturns as employers are looking to reduce medical costs and so on.  I think there is a potential impact, ongoing impact as we look throughout the year with regard to the current pandemic as, one, employers look to go out to bid on benefits plans and/or you’ve seen some furloughs of folks impacting plans, so we’re paying close attention to that. We haven’t seen any impact yet in the first quarter other than perhaps some slowdown in some of the RFP volumes in the end of the quarter. 
Steven Alexopoulos: All right, very good. Thanks for taking my questions.
John Ciulla: Thanks Steve.
Operator: The next question is from the line of Collyn Gilbert with KBW. Please proceed with your question.
Collyn Gilbert: Thanks, good morning guys. Obviously it’s a million dollar question on how you guys are thinking about the reserve and how you build that going forward, but just trying to put that into some sort of context, so if we look at what you added for the loan growth this quarter, it looks like it was a 135 reserve. Can you just maybe help us understand why that reserve came in the way it did - you’re sitting at 160, you know, where it could go? Just framing that a little bit for us [indiscernible].
Glenn MacInnes: Yes, so most of the growth that we had in the quarter, as I said in my prepared comments, was on the commercial side, so we’re up at $855 million, so depending on what portfolio grows and the risk profile of the portfolio, that will drive the reserves for the quarter, so that’s why it’s a little lower than the total reserve.
Collyn Gilbert: Okay.
John Ciulla: Yes Collyn--go ahead?
Collyn Gilbert: No, go ahead, John.
John Ciulla: I was just going to say, it’s really hard to give any more context except to say, I think we chose, as Glenn told you, the actual underlying economic performance variables on unemployment and GDP and house prices that he used. We then did a qualitative review, as Jason spoke to, really bottoms-up, and I think we really know our portfolio very well. Looked at potential risk rating migration over time, the level of modification activity, and what we tried to do was on the day that we put our pencils down, we tried to--using our models and using our Q-factors, come up with life of loan losses across the $21 billion loan portfolio and across a securities portfolio of $8.5 billion.  I think when you think about what all the other banks are doing, some of them put their pencils down earlier. We tried to take a conservative approach at our current economic forecast, also looking at some of the potential behavioral elements in our portfolio, and so we feel really good that we meet the requirements of CECL, and obviously what happens with this, the good part about it is as we move forward, based on actual risk [indiscernible] in the portfolio and based on a forward look of the economy, the view will change and the models will change, and it’s really hard to do an apples-to-apples comparison. What I can tell you is we feel really good about our portfolio as I walk through. Our CECL is not an indication that we’re trying to get ahead of some issue we don’t see. We literally feel like right now, that’s the appropriate number given all the information we have.
Collyn Gilbert: Okay, that’s helpful. Then this is a hard question to answer, but just anecdotally, and you guys have so much detail, the slides you offered were fantastic, thank you for that, but the question obviously is the duration of this--of the COVID experience. Do you guys sense what [indiscernible]--you know, the majority of customers, how long they can sort of withstand and stay operating and stay afloat and modify? Is this something they can carry through the next quarter or two, or if this goes--I’m just trying to get a sense of where their heads are, how they’re thinking about the duration of this.
John Ciulla: Yes, and I’ll let Jason comment here as well. Obviously that’s a tough question, but the sense--I think the sense is, if you look at--I mean, Jason made a very important point. We showed 3/31 modifications and line draws, we then also--on the documents, we then told you verbally what it was as of April 16, and we made a comment that the activity had slowed, which is interesting. So the number of modification requests and the number of defensive line draws slowed over time. That’s actually a positive sign. We’re working with a lot of our borrowers. Regulators have given banks greater flexibility in terms of being able to make payment deferrals and modifications over time, and I do think that given the parameters and banks capital position, and t his just isn’t for Webster, I’m giving you kind of a general view, that we have the opportunity to modify three months, we can do another three or six-month modification at the end of that period. There’s a lot of liquidity coming into the market, there’s a lot of programs, like the Main Street Lending program hasn’t even hit yet, which would give some larger borrowers opportunity for additional capital if they can’t get it from their banks. The PPP program is being re-funded, the checks are coming out to individuals and families, so I think there is a sense that if we actually start - what is it, opening up America again, within a reasonable period of time that all of those bridges, with the bank’s support and with good operating management by our borrowers, that we can get through this. That’s anecdotal, right - you’re asking me an anecdotal question, I’m giving you an anecdotal answer that says, we haven’t seen a lot of our borrowers say, if I don’t get out of this in the next two months, I’m done. Everybody is working together and there is a feeling that banks can be supportive, sponsors can be supportive of their companies, the government is providing financial support. That’s just my view. Jason, I don’t know if you have anything else to add?
Jason Soto: No, I think you’ve hit all the right points in terms of the stimulus, unemployment benefits, PPP. As evidence of that perhaps is we’ve actually seen some borrowers withdraw modification requests once the PPP went into effect, and so we’re seeing some evidence of that support. What I could do is I could break down, if you think about the type of modifications that we’ve been doing by line of business, I would say generally three to six months, so on the consumer side it’s been almost all three months, so we obviously have some ability to further extend if the impact of the virus goes on further. On our small business, business banking, about a third has been up to three months and two-thirds has been up to six months. On the commercial side, it’s been up to three to six months, and two-thirds of that is payment related, balances, more covenants and borrowing base. I kind of look at this right now between the stimulus programs and the modifications that we’ve been granting, three to six months plus the benefit of those programs, it feels like a lot of our borrowers can withstand that timing of impact. 
Collyn Gilbert: Okay, that’s great. I’ll leave it there. I’m sure everyone else will ask the questions that I have, so thanks guys. 
John Ciulla: Thanks Collyn, stay safe.
Operator: Thank you. The next question is from the line of David Chiaverini with Wedbush Securities. Please proceed with your questions.
David Chiaverini: Hi. I wanted to ask about the leverage loans. You mentioned about how sponsors have been willing to step up and support their companies. If we look back to the financial crisis, how much--do you have a sense of how much in new capital was actually contributed by sponsors to support their companies, to support the challenges they faced back then?
John Ciulla: I don’t have a number, David, and I would be doing you a disservice if I guessed one, but what I can tell you, and if you remember in that call a year ago, I talked about that our credit performance in our sponsor and specialty business was actually better than many of our secured lending portfolios. It was one of the best performers in terms of actual loss. It had risk rating migration in it, but what I can tell you, just again anecdotally and from experience, is that if a sponsor has significant cash equity in a platform company, unless there is some sort of paradigm shift that makes that company completely not valuable, if 70% of the capital structure is their equity and we’re lending at 30, 40% of the capital structure, they’re not just going to turn over the keys if they think that this is a temporary crisis. So again, I think it comes back to depth and duration, and we have evidence that during the financial crisis, if we’re backing good sponsors who are buying good companies with banks providing covenant relief and additional liquidity, and the sponsors providing capital support, those businesses tend to make it through. Again that’s anecdotal, can’t make any promises, but that’s what we’ve seen and we saw during the financial crisis. 
Jason Soto: John, if you don’t mind, I can jump in a little bit as well. I would say that, as you all know, the level of dry powder that’s out there sitting in private equity funds to support existing investments has never been higher, and so--and you couple that with the fact that the multiples for LBOs have gone up, so the percentage of equity that’s in these capital structures, you know, a disproportionate increase versus the amount of debt that had gone on. I think there’s going to be a lot of incentive to support borrowers that have good business models, that are experiencing sort of deep short-term impact. We were actually already seeing that with some of the modification requests that we’ve gotten, where sponsors have been willing to put in some equity, provide us with a little bit of a make-well to get access to more liquidity and things like that.
David Chiaverini: You just touched on it a little bit for one of my follow-ups. Are you getting anything in return for providing loan modifications to these leveraged borrowers, either in the form of consent fees or additional equity contribution from the sponsors to provide those modifications? 
Jason Soto: Yes, we are getting some additional equity. We are getting in some cases that make-well, right, let us access the revolver for a couple million dollars more and we’ll give you a guarantee. We’re taking the opportunity to add in LIBOR floors on a substantial portion that are coming in, which is obviously helpful in a different way. We’re not--I don’t think we’re focusing so much on big fees, right - our goal is to help our borrowers at this point get through this time, but also improve our position where we can.
John Ciulla: That’s right. I’d remind you that these are really strong relationships over time, so both parties work to get to the best outcome. Good answer, Jason, and the answer is yes, we’re close to these folks and we work with them, not at cross purposes.
David Chiaverini: Thanks for that. Then shifting gears to the State Farm HSA acquisition, out of curiosity, when did State Farm put it up for sale? Was this kind of a recent thing, or has this been in the works for a while, and was this a competitive bidding process?
Glenn MacInnes: It was a couple months that we’ve been talking to them. As far as competitive, I think it landed more on our ability and our capabilities from an acquisition standpoint, less on price. It wasn’t an auction or anything like that. We’ve struck a very good partnership with them, which we’re looking forward to working with them going forward. 
David Chiaverini: And your appetite for additional HSA acquisitions?
Glenn MacInnes: Sure.
John Ciulla: Yes, remains strong.
David Chiaverini: Thanks very much.
Operator: The next question is from the line of Jared Shaw with Wells Fargo. Please proceed with your questions.
Timur Braziler: Hi, good morning. This is Timur Braziler filling in for Jared. First, looking at the level of PPP lending, it was a little bit smaller than what we’ve seen out of some of your peers. Was this a choice at Webster or was this something structural that limited the level of production, and as we look at future SBA programs coming onboard, what level of participation should we expect from Webster?
John Ciulla: That’s a good question. Certainly we wanted to help every small business borrower and customer of Webster that we could. We got through, let’s say, approximately 30% applications approved, 30% funding, plus or minus a few percentage points on both sides of that. We fully expect to drive those numbers significantly higher over the next few days as we’ve got internal approvals. I would say no, the answer is we--at yeoman’s efforts, we repositioned almost 300 people in the organization to go through it. Obviously there were technical issues at points with the etrans system. We’ve worked on trying to make our automated process a little bit more efficient. I’d say we’re kind of right in that national average, although you’re right to point out that we trailed some, and we’re going to work out butt off to make sure that when the funds come up, open up again, that we close that gap a little bit.
Timur Braziler: Okay, and then can you disclose what the weighted average fee was for the PPP loans that you did book?
Glenn MacInnes: I think we’re probably in the range between 2 and 3%, Timur, and we’re funding that basically at PPP LF at 35 basis points, so it helps us.
Timur Braziler: Okay, and then just last one from me, I’m not sure if you can disclose this or not, but the current reserving for the lending club loans and for the restaurant portfolio?
John Ciulla: No, we’re not going to disclose by segment, although again I’ll just make a qualitative determination that that didn’t drive reserving disproportionately to anything else. It’s less than 1% of the portfolio and it does not have a disproportionate impact based on our loss modeling.
Timur Braziler: Okay, that’s helpful. Thank you.
John Ciulla: Okay Timur, be safe.
Operator: Our next question is from the line of Laurie Hunsicker with Compass Point. Please proceed with your questions. 
Laurie Hunsicker: Yes hi, good morning. Just wondered if we could go back to Slide 15, which by the way your detail is great, really appreciate that. If we can just start by looking at the total, the total of $2.8 billion that you have here, how much of that is real estate on this slide, if you know approximately? I mean, obviously you gave us the detail around the retail being 58% CRE, so that puts it at $600 million. Just didn’t know if you had--you know, how much is actually real estate.
John Ciulla: Jason probably does not have that off the top of the head, but actually--I’ll ask you first, Jason, and then otherwise I can give a relatively rough estimate.
Jason Soto: Yes, the main components in there that are retail is hotels and motels, so it does not include some of the multi-family and office properties that I mentioned before. It’s also going to be in retail, as we talked about 58%, I think was the number, is CRE collateralized retail, and we talked about some of the characteristics of that. So call that $600 million or so, call the hotels another 125. There may be a little bit scattered in the restaurants, in our small business, but that’s probably the sum total of the real estate. A little less than a billion is my guess.
John Ciulla: And on construction and related?
Jason Soto: That’s mostly equipment finance, so that’d be trucking. A good portion--
John Ciulla: Right [indiscernible].
Jason Soto: Right, trucking type exposure. It’s probably $200 million, $300 million of it.
Laurie Hunsicker: Okay, that’s helpful. Thanks. Then in your travel and leisure category, what primarily is that?
Jason Soto: Yes, so that’s everything from fitness facilities to conference providers or companies that support conferences, arcades, rock climbing, those types of--golf clubs, YMCAs. It’s a variety of different types of leisure activities for the most part, a little less in travel. We do have one or two borrowers that support travel events, they put on travel shows, and so that’s probably the lion’s share that goes in there.
Laurie Hunsicker: Very helpful, thanks. Then roughly of your billion and a half or so of the leveraged lending, how much of that actually shows up on Slide 15?
Jason Soto: On Slide 15?
Laurie Hunsicker: Of your $2.8 billion, I guess how much--maybe asked a different way, how much of the $2.8 billion is leveraged lending?
Jason Soto: $236 million.
Laurie Hunsicker: Okay, that’s great. Okay, thanks. Then also, and I appreciate all the details you gave us around modifications, of your total book, the $3.2 billion or so of S&F, how much of that is modified already?
Jason Soto: S&F, excluding leverage, is about 17%.
Laurie Hunsicker: Seventeen percent - okay.
Jason Soto: But leverage is lower than that.
Laurie Hunsicker: Okay, that’s great. Then just last question, of your $6 billion commercial real estate, how much of that is multi-family and what’s the LTV on that? And if you don’t have that, I can follow up with you off the call. 
Jason Soto: Yes, you can see that on the chart, right? Sorry, go ahead, John.
John Ciulla: No, go ahead, Jason.
Laurie Hunsicker: Did I miss that? I’m sorry.
Jason Soto: Yes, you can see that on the chart, that it’s roughly 23% of the $6.1 billion, and if you focus on the exposure, the majority of which is in the CRE line of business, the LTV on apartments is 62%.
Laurie Hunsicker: Okay, great. Thank you.
John Ciulla: You got it, Laurie.
Operator: Our next question is from the line of Casey Haire with Jefferies. Please proceed with your questions.
Casey Haire: Thanks, good morning guys. A follow-up on, Glenn, the average earning asset growth. You’re expecting, I think, 4% in the second quarter here.
Glenn MacInnes: Right.
Casey Haire: Just the composition of that - I mean, the 650 that you booked quarter to date is roughly half that 4% move, and it sounds like you’re going to be doing more when the program re-funds. My question is, is this 4% growth, is this going to be entirely PPP, or is there going to be any core loan growth along with it?
Glenn MacInnes: No. I think a lot of our commercial growth came in at period end, so we’ll get to pull that into the second quarter. On the PPP side, it’s probably about half of it, so I’d say on average, if you looked at it, it’s probably about $500 million.
John Ciulla: Yes Casey, if that question also tries to get to what’s going on in the core underlying, I made the comment we closed a big deal in April on a technology infrastructure transaction. I look at our pipeline, it’s clearly lower than it’s been. Generally this is a seasonal low pipeline anyway, but it’s slightly lower than last year. As I’ve said, we’re going to be more careful. Obviously you’re lending into uncertainty, and so you need to make sure that the underlying fundamentals work. Obviously cutting the other way, you do have a little bit more leverage, and I probably shouldn’t use that word, but as a lender you have a little bit more leverage to make sure that your structure and your pricing work. I would say Glenn’s right, you’d see--
Glenn MacInnes: It’s probably about half.
John Ciulla: Yes, exactly, we had a lot of fundings at the end of the year--the end of quarter, we’ll carry through to next quarter. We’ve got PPP, potentially some from the Main Street lending program, and then a lower level but a decent level of organic growth. Then the last thing I will say is we do anticipate, and I’m always asked about pay-downs, I do think just with the general level of uncertainty and lower economic activity, we’ll probably see lower pay-downs, which will help keep that earning asset number up.
Casey Haire: Okay, great. If I piece together the NII and earning asset, it looks like you’re implying a NIM down about 10 BPs in the second quarter. Can you just confirm that, and then if you could--you know, where are spot rates for loan yields and deposit costs at 3/31, if you have that, Glenn?
Glenn MacInnes: I think your NIM is probably in the range, and I think if you looked at our outlook on rates going into the second quarter, we’re assuming the 10-year is probably around 70 basis points, at three-month LIBOR about--and this is the full quarter average, about 77 basis points, a one-month LIBOR about 53, and you’ve seen that trade up closer to 70 but we think that will come back in, and [indiscernible] is obviously around 24.  So the market rate continues to go down, and I think if you look at our net interest income, you have continued rate pressure but it’s offset by loan volumes, so the net result is our net interest income is flat, basically flat quarter over quarter. I think your NIM estimate is probably in the range.
Casey Haire: Okay, great. Just last one, on the capital management front, I understand that PPP carries zero risk weight, but it does hurt the TC ratio. At 7.7 today, is there a floor where you guys would not want to go, you would not want to see that dip below regardless of what you did with PPP?
Glenn MacInnes: No, I think we have plenty of room there. It would be very low--I mean, it would go below 7 before we’d have any issue with it.
Casey Haire: Got it, thank you.
John Ciulla: Thank you Casey.
Operator: Our next question is from the line of Matthew Breese with Stephens. Please proceed with your questions.
Matthew Breese: Good morning. 
John Ciulla: Hey, good morning Matt, and you’ve put out a whole bunch of good credit pieces in the last few weeks.
Matthew Breese: I appreciate that, thank you. Just on the PPP, one point of clarification. How are you treating the fees? Are those going to roll through NII, or non-interest income, and then what is your average life of loan there?
Glenn MacInnes: We’re assuming about 24 months on the average life of loan, and yes, it will roll through NII. To the extent there’s any pull forward, obviously that would pop NIM, right, and net interest income.
Matthew Breese: Okay. Then just looking at some of the more granular aspects of the C&I portfolio, you mentioned that the equipment finance is 75 of that book. Can you just walk us through some of the common types of equipment that you like to underwrite or stay away from, and if you have it, I would love to hear how much of this equipment, if you know, is active versus idle right now.
John Ciulla: Yes, that’s a great question, and obviously we’ve lowered the amount of disclosure because the portfolio used to be over a billion dollars, and it’s much smaller now. I can tell you that it’s generally things like yellow metals - fleets of school buses, tractor beds and other things.  Jason, I don’t know, you probably have more of a granular insight into the collateral types. I don’t think we have the active and dormant stats right now. Jason, you have anything to add there?
Jason Soto: Yes, I don’t have the details on what’s idle and what’s working at this point, but you hit the major categories. It’s primarily trucking, it’s auto transport - you know, there’s some yellow iron and cranes, a little bit of construction, we’ve reduced that a fair amount, as well as buses, whether that be--you know, it’s mostly charter buses. It’s definitely more on the trucking side, which it’s interesting - we’re seeing modifications there, but then there are certain companies that are just flat out. It just depends on what markets they’re serving. But yes, that’s the primary breakdown.
John Ciulla: And I think, Matt, I may have said this, and I’m not sure - I believe that of the 300 commercial banking units of modification, the actual borrowers, about 100 of those are small ticket equipment finance, so we are seeing some activity there but as Jason said, it’s kind of hit or miss in terms of what’s happening there. So small dollar amounts, but higher volume requests for modification in equipment finance. We’ll try and disclose more next time around. 
Matthew Breese: Okay, and then a similar question on CRE. There is roughly $425 million in healthcare, there’s another $539 million healthcare loans in the C&I portfolio. Can you just provide a little bit more detail on the types of healthcare, whether it’s hospitals or outpatient, skilled nursing, nursing homes, that type of thing?
Jason Soto: You want me to take that, John?
John Ciulla: Yes, go ahead, Jason.
Jason Soto: It’s mostly skilled nursing, is what we’re got, probably about $300 million. Then we’ve got what I’ll call some senior living facilities, that I’d sort of lump into the same category, whether it’s independent living, assisted living, or memory care. I think John mentioned before in his comments data centers is another section of about $250 million, and those are real high quality assets with 10 to 15-year contracts with really, really high quality borrowers, double-A, triple-A borrowers, take or pay contracts.  Then on the midmarket side, it’s more owner-occupied type properties in footprint.
Matthew Breese: Got it, okay. That’s all I had. I appreciate you taking my questions. Thank you.
John Ciulla: Anytime, Matt. 
Operator: The next question is from the line of Ken Zerbe with Morgan Stanley. Please proceed with your question.
Ken Zerbe: Great, thanks. I guess going back to the reserve, given your assumptions that we could be very much in a V-shape type recovery, can you just talk about the magnitude of difference if--I get that if unemployment goes or GDP falls to 18%, goes down to 30%, it’s probably not as big as the initial GDP move. But what’s the magnitude if you assume instead of a second half recovery, maybe a 2021 recovery, so we actually go through, say, three more quarters of very depressed economic activity?
John Ciulla: I’m not sure I can quantify that for you, Ken. What I can say is that if the assumptions around recovery end up being more dire as you move forward, we’ll probably see some of the management overlay that we put forth this quarter actually flow into the numbers, so we might not need as much qualitative adjustment to the underlying models.  But I would say--Glenn, what’s the most recent April--the difference in terms of what we see in terms of depth--?
Glenn MacInnes: For GDP, it’s probably another 12 basis points lower in Q2, but then the recovery is much stronger. I’m not sure--Ken, just to go back a little bit, I’m not sure we’re thinking of a V-shape recovery. We’re thinking of a more gradual recovery toward the second half of the year, and that’s really what--you know, our estimate again is a mix of multiple scenarios and multiple model losses, and that’s really what we’re focused on. But it is something, as John indicates, that we’re monitoring very closely, and I don’t think anyone knows the precise answer right now. But based on everything we’ve had and making model adjustments, and then looking at our portfolio, building it up from a granular basis and seeing how our customers will behave over the next 90 to 120 days, this is where we ended up.
John Ciulla: Yes, and Ken, I completely understand where you’re trying to get to, but it’s exactly what Glenn said, because we’re going to see--if we see risk rating migration, depending on the impact of all of the stimulus and the government programs and our modifications, over time we’re going to see changes in whether it’s a V or a U or an L shape, and so we kind of have to wait to see how that plays out to really figure out, because we may have a longer recovery period, but we may see really strong impact of fiscal stimulus, and all of those variables go into our modeling and our CECL, and we kind of have to wait until the end of the quarter to see where that is.
Ken Zerbe: Got it. Yes, I guess I was just trying to figure out whether the--say it’s an L-shape recovery but less GDP decline, if that could have multiples of the reserve build that you saw this quarter. I’m just trying to size the impact on what matters more to your reserve.
John Ciulla: I think in all of the different models we ran, I don’t think it’s multiples, right? I think multiples may be more the depth or another shock or some issue, but in terms of the nature of the recovery, if you think--I think the depth may be more impactful than the duration in some respects. I do think that if you look at our going out, that if we end up going away from a V or a U, more towards an L, that it’s not multiples in any one particular quarter.
Ken Zerbe: Okay, great. Thank you.
John Ciulla: Thank you.
Operator: The next question is from the line of Bernard Horn with Polaris Capital. Please proceed with your questions.
Bernard Horn: Hi, good morning. Just a couple questions, and by the way, great detail on the slides and all the explanations with respect to credit. Just on the PPP, did I understand you right, that it looks like the margin on that program was either from 75 to 125, 200 or 300 basis points on rate with a 75 basis point funding, and then did you--what kind of additional fees are you incurring in those--I mean, earning, and are you dealing with existing customers, and are those providing additional relationship activities that you might develop into other business? 
Glenn MacInnes: Bernie, it’s Glenn, good morning. I think we’re probably--we have a coupon about 1%, and then with the fees we’ll probably be in the range between 2.5 and 3%. The funding is about 35 basis points to the PPLF, which is set up uniquely for this, so that gets you probably--maybe a little higher than what your range was.
John Ciulla: Right, so the program has about a 1% interest rate, and then it has sliding fees depending on the size. If you look at what we’re doing, I think about 80% of our applications have been below $350,000. Those carry higher levels of fees, so you kind of put that all together and it increases the NIM, depending on what your average life is.
Glenn MacInnes: I mean, your spread could be 2.25 to 2.50.
John Ciulla: And your question on customers versus non-customers, we have--we work with both, and we haven’t denied. Our primary focus is to help our customers, and as you tell, Bernie, from the stats we gave, unfortunately when the money ran out, we haven’t helped as many customers as I would have liked to help, albeit we did an unbelievable job, a yeoman’s effort of people working remotely and bringing people in from other areas and leveraging technology. But we’ve accepted applications from both primarily--roughly 90% of the applications we received were from customers. 
Bernard Horn: Would that provide you with any opportunity to do more business with them? I mean, I’m just wondering if it allows you to get deeper into the customer.
John Ciulla: Yes, I’m going to be honest with you. Philosophically, it’s not our primary concern right now. It’s to try and be part of the solution, and I’m actually talking with our other bank CEOs on a frequent basis about making sure that this program does what it should. But certainly if you’re there and you take care of your customers and non-customers, presumably that’s going to have an added benefit over time. I think we’ll obviously be able to talk about impact to customers or non-customers as the program works itself through.
Bernard Horn: Very helpful, thanks. On the securities portfolio, was the increase on Slide 6 as a result of market appreciation with major drops in interest rates, or did you add to the portfolios?
Glenn MacInnes: Bernie, you’re referencing Slide 6?
Bernard Horn: Thirty-six, sorry.
Glenn MacInnes: Thirty-six? Okay, yes. We did add to the portfolio. You can see that in our balance sheet period end. I think we’re up $283 million quarter over quarter. 
Bernard Horn: Okay, so active purchases, and I guess the--
Glenn MacInnes: I’m sorry?
Bernard Horn: So you actively purchased additional securities, it wasn’t just from the increase because rates dropped?
Glenn MacInnes: Yes, we did. 
Bernard Horn: Okay, so I guess the--
Glenn MacInnes: Go ahead? I mean, in part to lengthen--you know, they were at a six-year duration, in part to help or improve our asset sensitivity--
John Ciulla: Early in the quarter.
Glenn MacInnes: Yes.
Bernard Horn: Yes, so I guess that partially answers my next part of the question, which is given that that portfolio has swung from a total loss to--I mean, from a loss to a gain, given that interest rates are so low where they are right now, can you comment on whether you might change your outlook on how you’d hold that securities portfolio?
John Ciulla: I think it’s too early to say, Bernie--
Glenn MacInnes: Yes.
John Ciulla: --in terms of the way--
Glenn MacInnes: We obviously like it from an interest rate risk standpoint. We use it to manage our asset sensitivity, and we use the AFS portion for liquidity, so I think we sort of triangulate those three and we arrive at where we think we could be. Obviously these are lower risk-weighted securities, so it doesn’t take up a lot of capital either, so we like where we’re positioned right now.
Bernard Horn: Okay. Last question is can you comment on the CD roll forward and re-pricing what you’re seeing there? 
Glenn MacInnes: I think you’ve seen CD balances come down. Part of that is in response, I think--you know, we’ve pulled back on a lot of promotional programs in most of our markets, and so I think what you’re seeing is customers pausing and moving into other funds, not locking up their money over a longer term. As a result, our CD portfolio has shortened, which again helps our asset sensitivity.
Bernard Horn: And any comment on the amount of those CDs that will be re-pricing over the next two or three quarters? 
Glenn MacInnes: Yes, I don’t have that in front of me. I can come back to you on that, Bernie.
Bernard Horn: Will do, thanks very much. That takes care of my questions.
John Ciulla: Thanks Bernie.
Operator: Our next question comes from the line of William Wallace with Raymond James. 
William Wallace: Morning guys. 
John Ciulla: Hey, good morning.
William Wallace: On Slide 15, I’m wondering if you could just talk a little bit about the risk migration of the ratings within the pass category as you modify these loans, and if you didn’t give it already, how has that modifications number changed since 3/31?
John Ciulla: Yes, I’ll let Jason do that. We did update, William, the revolver draw and modifications on those pages, and Jason will repeat that for you. There hasn’t been--let me make one general statement and then I can give it to Jason. There hasn’t been much risk rating migration yet, right, because you’re going through this process, and you’re really looking at reported numbers, where your customers are, and things that are purely temporary and COVID-related from a modification perspective don’t necessarily warrant a downgrade based on regulatory guidance specific to the pandemic.  We haven’t seen much, and I think when all of you get on the calls with all of the banks for the second quarter earnings, you’re probably going to be able to see a better indication of actual ratings migration.  Jason, do you want to update those modification stats and revolver draw stats for Page 15 as of April 16?
Jason Soto: Yes, sure - up from 517 to 692, and revolver draws only up modestly from 122 to 130. In terms of the risk rating migration, yes, I think we’re sort of taking a wait and see, so to speak, and as we get more information as to how long the pandemic impact will last, but we’ve made sure, as Glenn went through, that we’ve captured an appropriate reserve to reflect the modification activity that we’ve seen and the potential risk rating migration we expect. 
William Wallace: Okay, so I know it’s impossible to know exactly at what point you’ll start to adjust, but is it three months when you start to worry about what the cash flow recoveries for these loans might look like, or is it six months or is it too impossible to even [indiscernible]?
John Ciulla: No, I don’t think there’s a rule of thumb. You saw downgrades, we have higher classifieds in the quarter. We’re watching every single loan in every single portfolio, so we’re just being disciplined to the approach that you downgrade once the ongoing financial metrics trigger into a new grade category, or if you think you’re potentially at risk for further downgrade and it goes to watch, special mention or substandard. So we’ll do that, and we’re still doing that. I’m just saying given where we are, we have not yet seen a meaningful risk rated migration that you may see, depending on the depth and duration of the downturn. 
William Wallace: Okay, thank you very much. Appreciate it.
John Ciulla: Thank you William, appreciate it. 
Operator: Our next question is from the line of Mark Fitzgibbon with Piper Sandler. Please proceed with your questions.
Mark Fitzgibbon : Hey guys, good morning, and thank you for all that detail on credit. Just two quick questions. First, can you give us a sense for what percentage of your commercial loan portfolio do you think ultimately will go into forbearance, and then secondly, if you could just, Glenn, clarify your comments on the margin, I missed those so I apologize, the outlook for the margin.
John Ciulla: Okay. No Mark, it’s great actually to have you on the call, and we’ve gone a long time on this call, so appreciate you hanging in there. I’ll take a crack and then maybe see if Jason wants to put another comment.  What’s very interesting is, and we talked about this, that if you look at the modifications through April 16, we gave that number verbally on the whole portfolio, slightly up, and the revolver draws, we’ve seen a slower trend, right? So it’s hard to predict, again looking at depth and duration, of who’s going to come to us for more modifications. We don’t know whether the PPP program, if in fact--even if they authorize another $250 billion, if you look at the statistics probably everybody that qualifies doesn’t get funded, so maybe if those people who are eligible and do not receive a loan, maybe they come and ask for modifications, so there could be an uptick after that. But what’s fascinating is the amount of defensive draws in the portfolio and the amount of modification requests have sort of slowed down with respect to pace and trending, so it doesn’t look like now, at least in what we’re seeing, that we’re going to see a flurry of additional modifications. I think it will be dependent upon particular challenges by independent--under independent circumstances by borrower. Jason, I don’t know if you think that’s accurate. Correct me if you want to.
Jason Soto: Yes, all I’d say is we’ve actually seen net revolver reductions through the first half of the month from--you know, we talked about the 450 or so that were draws in March, and almost $100 million of that has been paid back down, so that’s a bit of an encouraging sign. Again, across all the lines of business, we’ve seen less modification over the last couple weeks, the last week in particular. It’s hard to peg exactly where we think this might end up, but what I can tell you is we do have that weekly update and bottoms-up approach that we go through, updating those numbers exactly, and so we do think we’re going to see more than what we’ve seen so far. It may slow down for now, we may see another wave when some of the initial modification requests we granted come back for further discussion once we have more information, but we’re on it and we have a very good feel as to what we think we might see.
John Ciulla: And Mark, I don’t know if you were on the call at the beginning, but I did give--as of April 16, right, in the mortgage and residential books combined, that’s about a $7 billion prime book. About $476 million or 6.5% had requested and been granted modifications as of April 16 - that’s last week. In small business, 750 borrowers reflecting $300 million or 17% of our business banking, $1.7 billion business banking portfolio, 17% had been modified, and in commercial about 300 borrowers representing $1.6 billion or 13% of the commercial funded loan book had been requested or granted modifications. 
Mark Fitzgibbon: Thanks, and then the question on the margin for Glenn?
Glenn MacInnes: Sure. Mark, good morning. We’re assuming the following as far as our average rate forecast for the second quarter. We’re thinking a 10-year swap of probably around 70 basis points, a three-year LIBOR rate on average around 77 basis points, and a one-month LIBOR rate somewhere around 53 basis points, with of course Fed funds at 25. So it’s making that sort of assumption, again I would say that you can assume that our net interest income will be flat quarter over quarter, say at 2.30, 2.31, somewhere around there. There will continue to be margin pressure, and it could be 10 to 12 basis points depending on the mix, so it’s hard to tell this early but that’s about where we think we’ll be at this point.
Mark Fitzgibbon: Thank you.
John Ciulla: Yes Mark, stay safe and well, please. 
Operator: Thank you. At this time, we’ve reached the end of our question and answer session. Now I’ll hand the floor back to management for closing remarks. 
John Ciulla: Thank you. Well, we very much appreciate you spending so much time with us this morning and giving us an opportunity to walk through our credit portfolio as well. We’re focused on being part of the solution here and helping our customers and our communities and keeping our employees safe, and I wish the best to all of you out there on the phone. Thank you.
Operator: Thank you. This will conclude today’s conference. You may disconnect your lines at this time, and thank you for your participation.